Operator: Good morning ladies and gentlemen. Today is Friday, December 18, 2015, and welcome to the Butler National Corporation Second Quarter Fiscal 2016 Financial Results Conference Call. At this time all participants are in a listen-only mode. After the presentation, we will conduct a question-and-answer session. [Operator Instructions] Your call leaders for today’s call are David Drewitz, Creative Options Communication; Clark Stewart, President and CEO; and Craig Stewart, President of Aerospace Group. I’d now like to turn the call over to your host Mr. David Drewitz. David, you may begin.
David Drewitz: Thank you, Ross, and good morning to everyone out there, and Merry Christmas and happy holidays. Before Mr. Stewart begins, I would like to draw your attention to except for historical information contained herein, the statements in this conference call are forward-looking and made pursuant to the Safe Harbor provisions as outlined in the Private Securities Litigation Reform Act of 1995. Forward-looking statements involve known and unknown risks and uncertainties, which may cause Butler National’s actual results and future periods to differ materially from forecasted results. Those risks include among other things the loss of market shares through competition or otherwise, the introduction of competing technologies by other companies, new governmental safety health and environmental regulations, which could require Butler to make significant capital expenditures. The forward-looking statements included in this conference call are only made as of the date of this call and Butler National undertakes no obligation to publicly update such forward-looking statements to reflect subsequent events or circumstances. Important factors that could cause actual results to differ materially from expectations reflected in the forward-looking statements include, but are not limited to factors described under the caption Risk Factors in the Company’s Annual Report on Form 10-K filed with the Securities and Exchange Commissions. Well, with that completed, I would like to turn the call over to Mr. Clark Stewart. Mr. Stewart?
Clark Stewart: Thank you, David, and appreciate everyone for taking your time to join the call this morning. Wish you all a happy holidays and Merry Christmas and we’ll get started here. First of all, I want to report to you in November we lost Captain Larry Franke, who was a marine and had been President of Avcon and worked for us for 21 years and had a lot to do with the development of the special mission business. He believed that we’re capable of carrying that on. We have a number of people with relatively the same skills and we’re continuing to develop that business and grow it as Larry would have headed us to do that. And yes, he passed. I am sorry Kathy tells me that – we lost him – we lost him, yes, we lost him, but he passed away and – but we just – we’re just mourning that. As far as the 10-Q goes for the six months ended October 31, we reported a loss. Revenue was down $1.6 million in the quarter, $2.3 million for the six months; profit down about $741,000 in the six months and about $507,000 in the quarter. Assets were up slightly, debts $269,000. What we did is refinanced that at April 30. We refinanced some 15% debt with some 4% debt. Our equity is up about $30,000. We spent $937,000 on R&D in the first six months. We continue to have to spend that to maintain our competitive position and to keep generating new products that we can sell. At this point, we have a total of 235 employees in the Casino, and 92 in the aerospace part of the business. In 2013, we had 84 and 243. In 2014, we had 87 and 238. So, we’re down some employees at the Casino and up a few at the aerospace. And we’re holding our own air that the most exciting thing we have for today, I think, is the backlog situation. And if you look at the history of the backlog in 2013, we had $3 million. Basically, April 30, 2014, it’s grown to 5.6. And then we’ve got a major order in the aerospace and it went to 9.1 at 04/30/2015, July it was 9.3, and here at October were 10.3. We’re now at the point we’re probably in right at the end of the year and in January we’d probably be in $11 million range. We expect to get another $1 million worth of orders probably before the end of the year. And so, our real challenge is to fund and staff the workforce in the aerospace to at least [indiscernible] some of that and shift some of it and make money on it. So that’s our position with the backlog. I’m sure you all want to know about the Casino acquisition project. We’re continuing to work at the appraisal of the land and building was about $15 million less in the bank and we thought it was going to be – so we’re trying to regroup and figure it out what we should do with the difference in the appraisal and how we handle the acquisition. We are positive or optimistic that we’re going to get that accomplished. We just have a delay. And we’d a hope that we would schedule annual meeting so that we could announce all that, but we’ve decided it’s time to have the annual meeting and we currently have a schedule before the end of February 2016 – on February 22nd or maybe the 23rd depending on more schedules with that announced, so it’s where we are, but anyway that week of February is where we are. On our cash match for the 401(k), I’m sure everyone is concerned about that at this point unless we have significant deposits in the next few weeks. We’re probably not going to be able to do that, but we do have – we really don’t make that match to when Kathy?
Kathy Gorrell: 04/30…
Clark Stewart: 04/30. So we have some more time to do it. But the cutoff date, of course, as you all know for the price is December 31. So that’s the status of the cash match and the annual meeting. And if we’re gearing up the staffing at Avcon to try to hit into the backlog and also in Tempe, so we’re working on that. I think we’re very optimistic is to the potential what we have. And Craig, if you want to address some of that, I appreciate you have some details of that.
Craig Stewart: You bet. The business in Tempe, the backlog out there has between $5 million and $6 million and it’s still growing. The delivery is one of our – the larger contracts have started, so we should see – starting to see consistent positive cash flow coming from the Arizona operation. The backlog at Avcon is up $3.5 million to $4 million and we’re delivering against that. Currently, there are new projects and lots of new quoting activity going on all the time. Our sales guys are as busy as they’ve been on the long time. So that’s the positive going forward and aerospace all the way through. The new STCs related to Avionics, AHRS, and ADS-B, we’re seeing interest starting those and we’re also seeing a rush here at the end of 2015 for hush kits. So that Lear 20s – 20 series airplanes won’t be able to fly without noise – before the end of January 1 they won’t be able to fly unless for stage 3 complaint. And we are seeing a number of customers say, hey we’ll just going to bring the airplane when you get to it and you can get to it, we will park it on the rain. So I think we’re going to see an uptick in that even as we get closer to the – to the end of the year we’ll – where we’ll get more and more activity on that. So we’re very encouraged on the aerospace despite the disappointing results that we had this quarter. We think that the balance of this fiscal year should improve and we’re looking forward to that. Yes, I think we’re – I believe that we can probably breakeven or make some money this year even with the loss we've had so far today. So think we’re – I'm positive on that. I think that’s well with insight. At the Casino operations, we've had a disastrous November and still made money. We basically lost five days of business with ice and snow storms. And that’s a significant – those – so remember this is a high fixed cost operation and those revenue dollars all falls in the bottom-line above the certain point. We still – we do make money. I think in the month of November, we had – we did a lot of promotions in September and October, in one of those month’s revenues for and we lost money there, but basically the Casino is doing fine and starting to turn around and marketing and our busing operations that were shutdown by the regulators a couple of three years ago, we finally got to the point where we got the bus operators willing to come back to that city and I think that’s a major accomplishment for the Casino team. And they’ve done well with that. You don’t realize how much time that cost you once you have a bad taste in that – in the vendors’ mouth on that thing. So that – that’s working pretty well. I guess, overall, we’re optimistic. I think I need to clarify that that we probably – we are not able to use our line of credit to fund the match at this point and we probably shouldn’t do it definitely in the bank – they’d probably on that a little bit. So I think that we’ll probably do a stock match and if we have to buy it or certainly we’ll see how it works. So I want to make sure that everybody understood that we weren’t committed 100% to the cash match unless the funds are there to do it. I think David at this point, I don’t have anymore comments. And if we have questions, let’s see if everyone has questions.
David Drewitz: Sure, Ross, why don’t we go ahead and open up to questions?
Operator: Thank you, David. [Operator Instruction] Our first question comes from [indiscernible]. Please go ahead, Tony.
Unidentified Analyst: Hi, Clark and Craig. The last time we had the opportunity to talk, we did talk about the EASA program and the possibility of cash match instead of a stock match. But as an addendum to that I suggested the possibility of instead of marking to the market, the December 31 closing price, which is historically very, very low because of tax loss selling at the end of the year that we would desist the idea of doing it either at the closing price on December 31 or current book value, whichever is higher. Was that ever addressed?
Clark Stewart: We did discuss that with the attorneys. There is some feeling that we’re creating an illusion by assuming that the market equals to book and I’m not sure that we have a good resolution at that at this point, but there was enough concern there that’s it. And that’s conveying a market value that isn’t really represented in the market. And I think that’s – that’s probably where we are right there on that. I don’t have any problem of continuing to work on it, but it’s – I don’t want to create a value situation that is different than the real buy and sell in the market and that is just to concern yet. So…
Unidentified Analyst: All right, so basically we are looking at potentially another 2%, 2.5% dilution this year.
Clark Stewart: And maybe the market price has been dropped down and now it’s back up a little bit. I don’t know what that looks like. That is true.
Unidentified Analyst: Okay…
Clark Stewart: We generate the cash, Tony, that we think we’re going to generate would might be better off by April 30 and I don’t know – our cash generation is too good when the time comes and it is real headwind.
Unidentified Analyst: Sure, understood. Also related to that topic, this seems to be more of an annual question on my part and I keep getting the same answer. Has any further discussion been made concerning the ability or inability of directors and occupants of the C-Suite to purchase stock in the open market for their own accounts? I’m not talking for the corporate account; I’m talking about for individual accounts to send a message to Wall Street that the Executives of the company do feel as though the price of the stock is undervalued in today’s market.
Clark Stewart: I’ll be very honest with you, Tony. We talked about doing that and we thought about doing it and tell you the truth, it’s got lost in the – lost in the shuttle of trying to satisfy the customers, right. We’ll refocus on that. I promise you that. But it’s not – that’s exactly what we – we stood around and talk about it. So, yes, we could probably do it. And I’d be quite honest with you, we got lost other stuffs and didn’t – I don’t think we’re going to solve them.
Craig Stewart: We did a little bit and we – the answer we got was you could do it. It may be risky based on the information that you have and the things that are in the works. And that’s – I know that’s not an answer necessarily anybody wants to hear, but it’s also the reality of the situation. I mean if I went out and buy stock at $0.15 and then we announced something really positive a month later and the stock went up to $0.30, I don’t need the SEC in my door and that’s the real thing that we’re at.
Clark Stewart: Craig, that’s totally understood, but with all due respect that’s the reason I suggested a format called the 10b5-1 program, which is what most corporate executives utilized and fell on Wall Street, where they commit a certain amount of dollars to a situation, to a buyback, but it is not in their control, it’s done on a regular monthly basis over a period of time. In other words, if somebody commits to buy – I’m just making this up, 100,000 shares that works up to about 8,000 shares a month. The broker automatically, on a certain day of the month, buys that 8,000 shares and he does it every month. So that the timing is taken away from the purchaser, do you follow me?
Craig Stewart: Yes.
Unidentified Analyst: Okay, this is the way the vast majority of corporate executives buy stock. This is how Steve Wynn just bought there – just announced $100 some million dollar personal purchase the other day of his stock. This is the way Jeff Immelt buys stock in GE. They do it on a daily – I’m sorry on a monthly basis where the timing has absolutely nothing to do with corporate developments. Based on the council that you all are receiving on this that GE it could be FE if you come out with an announcement or because there are so many things in the pipeline. Then I guess we should expect that if any insider ever does buy stock that we’re almost guarantee the shareholders that there is absolutely nothing happening in the company.
Craig Stewart: That’s a valid point, Tony. I didn’t…
Unidentified Analyst: Okay…
Craig Stewart: On that way…
Unidentified Analyst: Okay…
Clark Stewart: I guess, Tony, I’ve got the other side of that point, as I’m sitting here with – with stock in IRAs and the 401(k)s that I’m required to do something with and how do I get the cash to get the required minimum distribution that the FEDS want without selling that out of that 401(k) to somebody. So I haven’t figured out quite how to do that, but I do have some case left in. So I am not in trouble yet but next year I’ll be in trouble on...
Unidentified Analyst: Right, I understand, I understand. Yeah, I guess my last question is should kind of go to Craig, because he is the CFO, I believe still at this point. I noticed – I spent a couple hours the other night going through the 10-Q, which may give you some inside as to my standard of living, nothing else to do. And I noticed one line item in there that I just like a little explanation on, this is just for the quarter. Under marketing and advertising, that’s all it says, just marking and advertising? In this past quarter we spent over $1.25 million I thought it might have been an aberration but then I looked at the preceding quarter and it was again roughly $1.25 million. On a go forward basis that’s $5 million a year that we’re spending on marketing and advertising for a company that has a total market capitalization of under $10 million a year. Could you explain that?
Craig Stewart: Yeah, the marketing and advertising that majority of that is out of the Casino, generating – you take away the marketing dollars from a Casino. We’ve actually been told by a number of different places that we should be spending more money out there in advertise and marketing. Try to drop more traffic it’s a foot steps business out there from the buzzing programs to the bill boards to radio spots, TVs spots we’re trying to drop from such a large area that the marketing budget for a Casino for the revenue size of that Casino is pretty normal, it’s not on the low end I would say.
Clark Stewart: We’re standing about 11% - Tony here is where we are - we are spending about 11% of the gross revenue of the Casino on marketing and they are down the sets probably 3% to 5% percentage points low, we just had a meeting earlier this week discussing that. And so that’s what you are seeing there, the summer time promotions are more expensive, I guess we spend more money in the summer time on the Rodeos and all the other stuffs that has been going on than we do in the winter months. But that’s what that is that we don’t spend that much money on the Avcon and Aerospace Tempe stuff. We – this is common through to the Casino side.
Unidentified Analyst: Right. But we have done a cost benefit analysis on this and it is – I mean, it just seems like $5 million for our company whose market cap is $9 million. The entire value of the corporation is $9 million and yet we are spending $5 million a year on advertising.
Clark Stewart: We understand that.
Unidentified Analyst: Okay.
Clark Stewart: That’s what – that’s why you want to look, use book value in it some.
Unidentified Analyst: Exactly [Multiple Speakers]
Clark Stewart: I painfully regret that, but that is what the marketing is, and that’s what we’re having events in Amarillo and Oklahoma City in Colorado, Springs [indiscernible] and all kinds of places like that and amazing – we’re growing a substantial number of customers out of there and that is paying off. So, and the numbers show it, I mean, this – like I say, we’ve made money in November in the casino and by all rights we never should have made any money there.
Unidentified Analyst: Okay. There you go, let me get out of the way and see if there’s somebody else for question. Thanks very much and happy holidays to you guys.
Clark Stewart: You too, Tom.
Craig Stewart: Thanks.
Operator: Our next question comes from Timothy McMillan. Please go ahead, Timothy.
Timothy McMillan: Good morning gentlemen. On the option that you exercised to buy the casino building I think that was in August. Is there a time expiration that you must complete that purchase of the building or the option is expired? Is there any situation where that could happen?
Clark Stewart: No, there is not.
Timothy McMillan: So there is no timeframe on it, it’s an infinity basically what you are saying, Clark.
Clark Stewart: But you got to remember its 25 year lease. So yes, it’s so hard to release an upgrading agreement. So…
Timothy McMillan: So anytime – so I guess five years, six years have gone, so we have 19 years to exercise that lease – that buy up.
Clark Stewart: Time after the five years we could exercise.
Timothy McMillan: Anytime after the first five and so…
Clark Stewart: Yes.
Timothy McMillan: So we don’t have to worry about that expiring honestly.
Clark Stewart: It’s not going to expire. Well, we’ll get the money long before 19 more years.
Timothy McMillan: Okay.
Clark Stewart: We would like to get that done in the next six months but…
Timothy McMillan: And I heard you right at the appraisal came in $15 million below what you thought it would, is that what you said?
Clark Stewart: That’s correct.
Timothy McMillan: Did they gave any reasons for why the appraisal was down or…
Clark Stewart: Now, I’m grinning a little bit when you asked me the question because the appraisers have their own menu and their own way of doing things. And every time you ask for one, you get a new approach, so it – we are trying to figure out with the bankers as to what we do next and so we are in that process right now. We have asked for some revaluation from the appraiser and most likely that won’t do anything. But at least we are trying – we have got to go down the alternatives in the sequence. 
Timothy McMillan: You’ve mentioned in an annual meeting, I believe you maybe in the last one that your partners are anxious to be in essence spot out, is that still the case. I mean are they warning out? 
Clark Stewart: Now they are not anxious to what is exercise this option, because you got to remember that the principal net interest payments, guarantee payments and their buy out of the land and building portion is much – is not favorable to them. Other than as owners, as their – as owners of the Casino itself, but that is not favorable to them as investors. 
Timothy McMillan: I see. 
Clark Stewart: So they – yes they cooperate and yes they will do, but they should do from a fiduciary responsibility as owners of the Casino. But on the other hand, they can’t really get too excited about it, because they are receiving more money on the rent, than they would otherwise. So 
Timothy McMillan: Wondered, under 20% equity that gives 40% of the profits, I think that is where - are they interested in selling that out also. I mean that seems like a pretty good too. 
Clark Stewart: That had a price we have - we have not been able to get that price to the point, where we could do it. And we got to get by this appraisal, that will help us some and that is probably the first thing we do and that moves us towards that objective, were still working toward it and they are still listening to us, they are not pushing back. They are just, - we just got go get the financing side as the thing worked out toward the work. And then we will see, right where we go from there. 
Timothy McMillan: And based on what you are saying Clark, I assume that the worst part of the fiscal year is over and we should look forward to a good third quarter and fourth quarter based especially
Clark Stewart: Correct.
Timothy McMillan: Especially connected to this quarter. 
Clark Stewart: I would say to you Tim that normally except somebody forecasted 28 inches of snow in that city, the week between Christmas and New Year’s. And if that occurs that is not going to help us a whole lot of here because the New Year, after Christmas and the New Year’s week is big week at the Casino. So we won’t get a lot of contribution from the Casino, if we can’t get good customers in belt.
Craig Stewart: Tim I do think the worst of the – the worst part of the year for Aerospace side of it is behind us. And I don’t - it concerns on [indiscernible] is about set him as inside that market. 
Timothy McMillan: Okay, very good. Thank you, gentlemen. 
Clark Stewart: Thanks Tim and have a happy holiday.
Operator: Our next question comes from David Elfenbein. Please go ahead, David.
David Elfenbein: Hey, guys. Thanks for having the call and shedding some light on what your expectations are. One comment and one question. Clark, just to go back to something you had said question about how to manage through your R&Ds. I think you are talking about with regard to potentially having to sell some stock at some point from your…
Clark Stewart: Yes.
David Elfenbein: IRAs. You don’t actually have to sell stock just as – you can actually take the stock out of – as a distribution time. So just to have that in mind you can just distribute it out without actually having to sell it, just on the side.
Clark Stewart: Yes.
David Elfenbein: That said the question I have is actually kind of to dovetail off of what prior question was with regard to expenses. The marketing expense is one thing. SG&A seem to go up very disproportionately to the level of business considering the business came down. Can you just speak to why your expenses have gone up so much on a – and I guess it was just G&A because I guess was backed out. Why your general administrative expenses have gone up in double-digit percentages while your business has dropped off considerably?
Clark Stewart: They’ve gone from third quarter – our second quarter – fiscal 2015 were $1.3 million and the three months ended October 31 2015 were $1.4 million or $1.5 million but gone up little over $100,000 in the last year from a year ago to this period.
David Elfenbein: Great, and on the six months it’s gone up by – looking like about $288,000 on the six months. So I mean it’s pretty considerably considering business is down sharply, can you explain that cost increase?
Clark Stewart: Yes, I can explain a great deal of it in the process of the acquisition this option we’re talking about, we’ve spend a lot of legal fees, we’ve spend all kinds of we got appraisals, we got all kinds of things going on, try to acquire that. All that shows up is an administrative expense. And of course we have some – we don’t have a whole lot of travel there, we really don’t. And most of that is professional service fees for one thing or another we’ve done, so more trying to figure out how to increase the capacity of the aerospace. So we’ve got engineering and architecture fees going in there. They’re trying to expand it down at the Newton so we can handle bigger airplanes. They have customers with airplanes quite too big to getting hangar. We’ve got a lot of that. I don’t know what you want to call that, that’s really not R&D, but that is a legal support and the engineering support, civil engineering for example and just dealing with they trying to expand all the stuff. So we need to be where we can heed into the backlog instead of have it continuously increase, and that’s our – that’s what we’re trying to do and I would guess that’s 90% of the difference in the expenses.
Craig Stewart: We have spent some money from a business development standpoint on the Arizona products, here recently we’ve been pushing pretty hard on a couple of different – different firms which is required quite a bit of – quite a bit of travel overseas to try to generate contracts and need with some customers that, if we can get all of those contracts should be payback those, multiple times over on the type of money will make on them. So those are exciting things that are happening, but they have cost us some money here over the first six months…
Clark Stewart: To tell you where we are right here today, we have two people in China. And we have three people in Argentina airport and…
David Elfenbein: You have two just get back from the UAE?
Clark Stewart: Yes, until we got back from the UAE and those contracts we’re looking at there in China for example that’s a couple of $3 million, UAEs in the $30 million size and we are in good shape on those contracts and we’re working with the airplane manufacturers in China and all of that, U.S. manufacturers for the Chinese sale. That kind of thing is very expensive when we’re start traveling around like that, and there’s a lot of that in the – plus always legal and engineering work. So that’s the difference and it’s pretty easy to have a couple of $300,000 real quick go into that kind of expenses.
David Elfenbein: Okay. Let me asking some of that found its way into marketing expenses as well. But…
Craig Stewart: We agree, we’re basically aren’t charging that to marketing.
David Elfenbein:
. :
Craig Stewart: You do the same, David and thanks.
Clark Stewart: Thank you, David.
Operator: Our next question comes from [indiscernible]. Please go ahead, Joseph.
Unidentified Analyst: Good morning, Clark, this is [indiscernible]. How are you this morning?
Clark Stewart: Yes, fine, how are you, Joseph?
Unidentified Analyst: I’m great. Clark, couple of quick questions, what did the appraised value come in at?
Clark Stewart: We’ve came number one at that we can’t say as far as…
Unidentified Analyst: Do you have 10-K exhibit number that I can look at if I missed it that identifies the option agreement?
Clark Stewart: Yes, I don’t know what that number is – that option agreement 41 to 50, I would tell you that is probably between that…
Unidentified Analyst: So you believe you cannot disclose the appraised value?
Clark Stewart: Not at this point. The bank ordered the appraisal, but it’s not our information necessarily.
Unidentified Analyst: I’ll scratch my head about that, but thank you.
Clark Stewart: I mean that’s basically what it is.
Operator: Our next question comes from Michael Melby. Please go ahead, Michael.
Michael Melby: Good morning, gentlemen. Thanks for taking my questions. It’s scared to be get bride more explanation why the aerospace business was down so much.
Craig Stewart: The aerospace business has been down because we’ve been waiting on the few larger projects that we’ve gotten the work so there is hopefully coming in the near future. We’ve got to switch the mix of products. We’ve done a lot more maintenance in the aerospace business over the last six months to keep people busy and keep revenue coming in. It does two things when we do the maintenance. One, we’re seeing customers that are flying their Lear 20s and Lear 30s series. And giving them options of putting different mods, the noise suppressors, fins, tip tanks, avionics so it’s kind of a marketing tool to do that as well as, it keeps our people busy when we don’t have the higher margin modification projects to do. And it’s really it’s a lack of – it’s been a lack of demand or at least people actually pulling the trigger and signing contract do major modifications in a number of situations. The good news is it hasn’t been quite from a standpoint of people requesting bets and quotes. And we’re starting to see more of those come to fruition which is why we’re positive on the second half of the year.
Michael Melby: I think in prior calls you mentioned a lot of quoting activity too, why don’t you won more of those deals?
Craig Stewart: So a lot of them haven’t been – a lot of the customers haven’t decided to do them yet. It’s not a matter of we haven’t won or lost them, it’s a matter of, they haven’t – they haven’t awarded the project to anybody and the U.S. dollar being strong. We’ve had customers say they’re going to put it off until the dollar weakens. There’s a lot of international customers in our modifications are a lot more expensive when the dollar is strong. That doesn’t mean that they won’t see – if they don’t see a weakening, they’ve got a timeframe [indiscernible] to when they have to get the projects done. And as they get closer to that timeframe coming up that – at that point it won’t matter whether the dollar is weak or strong, but they’re trying to heads their best in some cases and not pay quite as much money. But most of the things we bet on and got quotes on, it’s not a matter of winning or losing them, it’s a matter of does the customer decide to do the modification at this time or they are waiting to later period.
Michael Melby: Got it. And it sounds like you’re confident business will get better and the dollar is still strong. What gives you that conviction if you have it in the modification business?
Craig Stewart: The history we experienced is that these projects are quoted by us and if the dollar is strong, they usually have probably a lead time ahead of us [indiscernible] and required to place the order of somewhere between 10 and 18 months. So, they hedge that exchange rate as time passes and hope for the best and if it doesn’t happen then basically a year or a year and half, two years down the road, they decide whether we’ve got to do it now and so we’re going to do it. And that is the reason that the backlog gets big in it and you’ve got, it’s not only the quote, it’s the quotes plus the orders, but the quotes would get a lots of those and they sit there and they will sit two or three year. And all of a sudden, somebody calls if hey remember you quoted that we’re ready to buy it now. And if some happens that cause them to have to have equipment, they go and do it. That is the nature of the special mission business. And there’s - I guess we’re conditioned to it. I don’t see how we can really change that very much.
Michael Melby: Now, I understood. I guess have you seen the quotes transitioned to orders so far in this quarter?
Craig Stewart: The increase in backlog that you’re seeing between last quarter and this quarter is primarily Avcon backlog and special mission backlog increasing, which those are – the backlog that you’re seeing those are signed orders. And the schedule for the next – we’ve been – we started really getting busy here about four weeks to five weeks ago. And it’s going to from what we can tell from a scheduling standpoint will stay that way through April – March-April time period at least and that’s the two to three months out is typically as long as we’re booked out two to three months out and that’s a good sign for the business. So based on the projects that are – we have been signed – that we now have signed orders for in addition to the number of quotes that we’re doing on a regular basis. I'm encouraged about that. The other thing I'm encouraged about is we’re starting to – we have the big order out there in Arizona a year ago. We are delivering against that now versus there’s a buildup of – we didn’t start delivering on that and desperate in and want to take deliveries until I believe it was October. And so, we had a nine month period where we’re building up – building up parts and inventory, but we weren't delivering against those orders. And now we're starting to deliver. We delivered within October and November a significant number of those units and should continue here to deliver on a monthly basis anywhere between 20 and 40 of those units. So that’ll be good consistent cash flow out of Arizona. Then the orders from customers in Arizona continue to grow. So we're excited about that. And that's why there's optimism.
Michael Melby: Got it. Thank you. And maybe to prior question from a caller look to me like operating expenses for the Casino were up considerably this quarter compared to last year, any reason for that?
Clark Stewart: Yes, there is an event in the end of September. And it would have caused the expenses to go up by about a $0.25 million. We – the 60th anniversary of Gunsmoke, we were a big promoter of that and spend a lot of money on that. And I think it's paying off, but that was a big number and that would have been all in that quarter.
Michael Melby: Got it. So I guess going forward you do expect that to go away and expenses to go back to go back to kind of where they’ve been historically?
Clark Stewart: Those things are going to occur once or twice a year. Yes, it will be there at someplace, but they won't be – it will be – those expenses will be lumpy, let’s say that.
Michael Melby: Got it.
Clark Stewart: Now, it straight around the...
Michael Melby: Just probably a little concerned on the timing of the Casino project, just curious with the appraisal, why don't you get that done before kind of exercising the option, so everything is kind of ready to go with the bank?
Clark Stewart: Well everybody was comfortable, but that’s the number was going to be a lot higher than it really was. The bank completed.
Michael Melby: That appraisal events for the whole Casino and that’s not the building and that’s the value of big place with a whole operation, right?
Clark Stewart: Kind of, yes, depending on how you look at it.
Michael Melby: Okay, thanks for your help. Happy holidays Merry Christmas.
Clark Stewart: Thank you. Thanks for your questions.
Operator: And at this time, there are no further questions.
David Drewitz: Clark, any closing statements?
Clark Stewart: Yes, we are optimistic and we think that the revenue is going to pick up in the aerospace and we think casino is stable. And hopefully growing at this point, as you know the casino patterns are first two or three years you are trying to figure out where you are, in the next couple of three years, you are trying to figure out how you turnaround what appear to be a decrease and hopefully we are material enough at this point, we can really see some benefit of the – all the marketing and development work that we have done. And so we are positive on the both sides of the business or both parts of the business. And we thank you for your time, that you spent this morning and we appreciate all the questions in that, and the direction that you give us on these calls. And we wish everyone a Merry Christmas and Happy Holiday. Thank you.
David Drewitz: Thank you everyone. That concludes the call.